Operator: Good morning, everyone, and welcome to Lion Electric's First Quarter 2024 Results Conference Call. [Operator Instructions] As a reminder, this conference call is being recorded. I would now like to turn the call over to Isabelle Adjahi, Vice President, Investor Relations and Sustainable Development. Please go ahead, Ms. Adjahi. 
Isabelle Adjahi: Good morning, everyone. Welcome to Lion's First Quarter 2024 Results Conference Call. [Foreign Language] Today, I'm here with Marc Bedard, our CEO, Founder; Nicolas Brunet, our President; and Richard Coulombe, our Chief Financial Officer. Please note that our discussion may include estimates and other forward-looking information and that our actual results could differ materially from those implied in any such statements. We invite you to review the cautionary language in this earnings press release and in our MD&A, which contains important information regarding various factors, assumptions and risks that could impact our actual results. With that, let me turn it over to Marc to begin. Marc? 
Marc Bedard: Thank you, Isabelle. Good morning, everyone. Thank you for joining us today to discuss Lion Electric's performance for the first quarter of 2024. Q1 was marked by significant commercial and operational achievements we have been able to accomplish despite important challenges, mostly related to the timing of certain subsidy programs. Let me start by highlighting some of our achievements in Q1. The Canadian ZETF fund approved the first sizable application for 200 buses, for which we have delivered 50 buses in Q1. We started delivering our Lion5 trucks equipped with our Lion MD battery packs, and we anticipate a gradual increase in Lion5 production throughout the rest of the year, as we fulfill orders and bolster our market presence. We started the deliveries of our LionD school buses manufactured at our Joliet facility. We are planning the commercialization of our Lion8 Tractor truck this summer, and we will make its formal commercial introduction at the ACT Conference in Las Vegas in 2 weeks. Our Lion8 Tractor will be equipped with our Lion battery HD pack, a state-of-the-art 105 kilowatt-hour pack. The commercialization of our Lion8 Tractor truck expected this summer marks the end of our new model development, allowing us to be fully focused on our vehicle optimization, including cost reduction. Q1 was also the first quarter within the last few years with almost no CapEx investment, allowing us to capitalize on our previous investments made in our 3 factories and be fully focused on manufacturing process improvements and supply chain optimization. Lastly, our expertise has been recognized with the prestigious mHUB Chicago's Manufacturer of the Year award that honors manufacturers and organizations for being innovative and focusing on economic growth. To date, we are proud to report that over 2,000 of our vehicles are on the road and have collectively driven 25 million miles, metrics that demonstrate Lion's leadership in the medium and heavy duty electric work. On the financial front, Q1 revenue remained steady year-over-year, with margins impacted by initial increased cost related to the introduction of our Lion5 and LionD new models and the integration of our Lion batteries, as previously communicated. While we are pleased with the first ZETF approval and the deliveries of 50 buses in Q1 under this program, revenues in Canada continued to be significantly impacted by the delays and challenges associated with the granting of subsidies related to the ZETF program. This approval of transit electric buses is a great news and definitely a step in the right direction, but this represents only a fraction of the program's potential. Revenues in the U.S. were largely impacted by the timing of orders and deliveries tied to the EPA program, being in a transition phase between 2 funding rounds for this $5 billion program that is crucial for advancing electrification in this market. In response to these timing challenges and to safeguard our liquidities, we continue to proactively make difficult but necessary decisions, including implementing additional cost control measures, such as rightsizing our workforce. Combined with the measures announced late last year and early this year, we estimate that these initiatives will result in annualized cost savings of $40 million. Going forward, we are confident that the recent announcement of new funding programs, such as the additional $1 billion allocation under the EPA's Clean Heavy-Duty Vehicles Grant Program, along with the renewal of Canadian programs, such as Ecocamionnage and the Quebec school bus subsidy program will possibly impact orders and deliveries. For the rest of the year, our focus remains on growing our order book and accelerating deliveries, while diligently managing liquidity and controlling costs, including a significant improvement of our working capital, now that the supply chain crisis is behind us. Nicolas will now provide insights into our commercial performance. Nicolas? 
Nicolas Brunet: Thank you, Marc. Let me start by discussing delivery, then address the order book and conclude with an update on certain subsidy programs. During the quarter, we delivered a total of 196 vehicles comprising 184 buses and 12 trucks. Of these, 165 were delivered in Canada, with the remaining 31 delivered in the U.S. Notably, this includes 50 buses to one of our customers for which funding approval under the ZETF program was obtained for an order of 200 school buses. While this initial ZETF approval is a positive milestone, these 50 deliveries represent only a fraction of the program's potential, and we look forward to the government accelerating the processing of applications. Additionally, we experienced a slowdown on EPA-related deliveries as we are currently in between funding rounds. I will elaborate on this in a moment. In terms of purchase orders, as of May 7, 2024, Lion's vehicle order book stood at 2,004 vehicles, consisting of 1,793 buses and 211 trucks, representing a combined total order value of approximately $475 million. The momentum and the purchase order book and the deliveries for the quarter was impacted by the timing of funding rounds in the EPA's Clean School Bus Program. First, the vast majority of awardees in this $1 billion grant round announced earlier this year are not yet able to issue purchase orders and accept vehicle delivery. As a reminder, the EPA announced in January the awards for the grant round, which allocated close to $1 billion of funding for clean school buses and related infrastructure. As part of this round, Lion was awarded funding of $38 million for 97 school buses. Additionally, we estimate that 70% of the awards were allocated to parties that are not directly associated with the school bus OEM or dealership. We have over the past month been proactively working with awardees in this grant round and we are in advanced dialogue with a number of them to potentially purchase Lion school bus. Orders from this grant round are expected to be allowed shortly for deliveries later this year and in 2025. Second, applicants under the latest rebate round of the EPA program, which is expected to allocate $500 million of funding, are still awaiting the results of their allocation. Applications were filed on February 14. We worked with a number of clients to file applications on their behalf and are also in dialogue with a number of potential clients who applied directly. Awards under this round of the EPA program are expected to be announced imminently. Just as with the grant round, this funding has not yet impacted our order book. So altogether, close to $1.5 billion are expected to soon be available for districts and private operators to purchase school buses in the EPA's Clean School Bus program. Additionally, the recent launch of the EPA Clean Heavy-Duty Vehicles Program, which allocates $932 million to purchase Class 6 and 7 zero-emission vehicle, including over $650 million specifically for school buses, is expected to further stimulate demand for electric school buses. We are also excited for the upcoming opening in California of the zero-emission school bus and infrastructure, or ZESBI program, which allocates $500 million for the purchase of electric school buses and charging infrastructure. Combined with the upcoming EPA round I just discussed, this translates into over $2.5 billion of funding to be available for school bus and infrastructure purchases. On the truck side, the Lion5 and Lion8 Tractor platforms continues to drive strong interest from potential customers, which we believe positions us well to serve truck operators when the shift to EV accelerates. Finally, 65 truck purchase orders were removed from our PO book relating to clients that filed for creditor protection. In Canada, we remain hopeful that more applications under the ZETF program will be approved, which would have an impact on both our upcoming deliveries from existing orders as well as drive momentum in the order book. Last, in Quebec, the extension of both the Ecocamionnage Program for trucks and the Quebec school bus subsidy program until March 2025 represents a favorable development as both of these programs offer very attractive subsidy. I will now turn it over to Richard to discuss our financial performance. Richard? 
Richard Coulombe: Thank you, Nicolas. I will start by commenting on Q1 results. I will then discuss our liquidity position and provide color for the rest of 2024. In Q1, we recorded quarterly revenue of $55.5 million, up 1% compared to Q1 2023, despite fewer vehicles delivered, 196 compared to 220 in Q1 2023. Gross margin was negative 20.1% compared to negative 4.1% last year. As communicated previously, margins were impacted by initial increased manufacturing costs, mostly due to the introduction of LionD and Lion5 vehicles and to the initial production of Lion battery packs. Our SG&A expenses stood at $14.5 million excluding $0.4 million of non-cash share-based compensation. This represents 26% of revenue in Q1 2024 compared to 28% in Q4 2023. In Q1, adjusted EBITDA was negative $17.3 million compared to negative $14.5 million in Q1 2023. Our net investments in intangible assets mostly related to R&D amounted to $8.2 million, down from $16.5 million in Q1 2023, as we continue delivering on significant development milestones. Total CapEx incurred significantly decreased to $400,000 compared to $23.1 million in Q1 2023 and mostly relates to maintenance CapEx. We now expect CapEx for 2024 to be approximately $5 million, lowering the previously communicated guidance for CapEx. Now moving on to liquidity. At the end of Q1, we had available liquidity of $31 million, including $5 million in cash and $26 million in immediate borrowing capacity on our revolver. During Q1, we made good progress with our inventory reduction plan, achieving a $12 million reduction. This puts us on track to deliver on our objective of $50 million to $75 million inventory reduction for the year. Despite this $12 million inventory reduction, several specific factors impacted Q1 and resulted in a negative working capital of $21 million. First, accounts payable decreased by approximately $16 million, driven by nonrecurring payments to suppliers for purchases made prior to the launch of our inventory reduction plan and strategic CapEx incurred in 2023, for which payments were made this quarter. We do not anticipate this trend to persist as we continue working closely with our suppliers in optimizing our supply chain management. Second, accounts receivable increased by approximately $7 million, largely attributed to overdue amounts mostly owed by government agencies. Substantial amounts were collected since, and we are in active discussions to expedite remaining payments. Third, unearned revenue balance with regards to the EPA program represented a net reduction of $5 million for the quarter as we are currently between EPA grant rounds. We are focused on optimizing our balance sheet, which, as at March 31st, 2024, includes $329 million of current assets compared to $124 million of current liabilities, and therefore, provides important opportunities to unlock liquidity. As of April 30, our liquidity position is largely unchanged relative to our March 31st position. During the quarter, we also made difficult decisions to streamline our operations by implementing additional workforce and other cost reduction initiatives. These decisions were necessary to safeguard our liquidity and ensure our long-term sustainability considering the significant delays encountered in some of the subsidy programs. Combined with the measures announced in November 2023 and February 2024, these initiatives are expected to result in annualized cost savings of approximately $40 million. As we look ahead, we anticipate persistent volatility in the short term. Our focus will remain on growing our order book and accelerating deliveries, while closely managing our liquidity, driving our inventory reduction plan and controlling our overall costs. In parallel, we stay appraised of potential opportunities to strengthen our balance sheet and ensure financial resilience in the face of evolving market conditions. I will now pass it over to Marc for concluding remarks. Marc? 
Marc Bedard: Thank you, Richard. Let me conclude by reiterating that despite having to navigate through the delays in the granting of some subsidy programs, we are very excited by the many opportunities that lie ahead. The shift to electrification might have taken a little longer than initially expected, but it is clearly happening, and Lion is playing a key role in it, as demonstrated by our leadership in the electric school bus market. While we expect volatility in the short term, we are confident in the decisions we are making for our company, and we will remain agile and proactive to maintain stability and forward momentum, which is part of our DNA. We will also maintain our steadfast focus on actively managing liquidity and controlling costs, our ultimate objective being to generate EBITDA and free cash flow, key milestones of our financial stability and sustainable growth. Thank you for your attention this morning. Let's now open the line for questions. 
Isabelle Adjahi: Operator, we will now open the line for questions. I just want to ask you to limit to 2 the number of questions asked to allow other participants to ask their questions. You can, of course, go back in the queue if you have any follow-up. 
Operator: [Operator Instructions] The first question comes from Kevin Chiang from CIBC. 
Kevin Chiang: Maybe I'll start on the liquidity front, $31 million of available liquidity. If I look at some of the moving parts, you have $27 million of debt due this year, about $8 million of lease liabilities due over the next 12 months. CapEx is $5 million. I think spending on R&D is probably in the $45 million range this year. So if you kind of add all that up, that's about an $85 million spend before accounting for potential operating losses. With liquidity at $31 million -- maybe if you can just help me bridge how you manage that gap, whether it's working capital tailwinds from here on forward, maybe the delivery ramp as we get through the year? Just anything to maybe provide some finer points to how you look to manage this as you ramp up deliveries. 
Marc Bedard: I'll take that one. So liquidity-wise, as I stated earlier, we have like, I guess, a liquidity position right now of $31 million, right, consisting of $5 million of cash and our $26 million available especially on our borrowing facility. The key element for us in terms of driving liquidity is really right now our balance sheet, our short-term assets. Right now, cash is $323 million versus $123 million of current liabilities. So that's kind of a ratio of 2.6, and this is what we're focusing on. Our inventory reduction plan is a key driver in Q1. I'm very happy that we were able to reduce our inventory by $12 million. And that quarter was a transition quarter, I can tell this. We really worked closely with our supply chain and kind of adjusted the cadences across the board and really align it to our current order book. So really confident that we're going to achieve our inventory reduction. As you stated, CapEx, right now, we spent like only $400,000 this quarter, and we're going to remain very disciplined there. We believe right now $5 million is a number that we can, [ as a company ], work with. And again, we're not going to necessarily commit to that. We're going to really be very disciplined there. R&D, another contributor, down significantly year-over-year. So in SG&A we'll continue to be very disciplined as well. And you see the trend over the last several quarters is really going down as a percent of revenue. So I would say those are the elements that will help us navigate through the year. And obviously, as a management team, we continue looking at market opportunities to strengthen our balance sheet. But right now, our focus is really driving our working capital initiative. 
Kevin Chiang: Okay. That makes sense. And maybe my second question. I appreciate some of the moving parts here in growing that vehicle order book just given how dependent these orders seem to be on government subsidies and grants. But at a high level, just given the experience you've had over the past couple of years, any change in your sales strategy or any thoughts in changing your sales strategy to maybe accelerate some of these purchases to maybe drive more near-term order activity? I guess based on your experience with how these government subsidies get rolled out and sometimes some of the timing uncertainty that seems to weigh on your order activity. 
Nicolas Brunet: Kevin, Nick here. I'll take this one. Look, obviously, when there are subsidy programs out there that are attractive, and they are out there, the buyers for the products want to be able to access that funding and -- as you would expect it, of course. We are in somewhat of a unique position, particularly in the U.S. right now, where there is -- actually, I'll just take a step back. You'll recall that late last year the EPA announced the awards for $1 billion for school bus and infrastructure under the grant round of the EPA Clean School Program. And then, in February, the third round of the program, which is back to the discount program, was -- all the applications were filed in February. And for that $1 billion in assets, some -- the first $1 billion has been awarded, but purchase orders are not yet allowed. So it's just following its course. And then the second tranche of $500 million, the applications were filed and the results are not yet known. This is all very attractive for our selling activity. It just hasn't materialized into the order book just yet. For the grant round, we expect that purchase orders will be allowed imminently. And then for the discount round, we expect the allocations to be known imminently as well. So there's a lot coming. Of course, when you look at the order book, you take a snapshot on a given quarter, well, yes, those programs can cause volatility, but it's enormous demand that's simulated out there from these programs. And so that's -- so I guess, now in terms of changing the sales strategy, we have had -- we filed some applications directly on both of these programs. You'll recall we had 97 units for $38 million that were awarded directly to us in the grant round. And as I mentioned, we filed also a lot of applications for our clients in the discount round. The whole sector filed a lot of applications on their own. So that demand is coming we expect shortly on both of these programs. Add to that new programs that are being put in place, the Clean Heavy-Duty Program from the EPA which allocates $650 million to school buses, the ZESBI program in California that's opening very shortly. That's $500 million just for the state of California. So certainly, those subsidies bring a lot of appeal and a lot of incentives for our clients to buy. And if you get a subsidy of -- as much as $350,000 to purchase the vehicle, well, yes, it's natural that a lot of the potential buyers will wait to know the results of those programs. Now specific Canada, of course, Marc alluded to it in his prepared remarks. The ZETF is a program that can generate a lot of demand we believe. We have over half of our order book that is contingent on ZETF approval. We've had a first order for one of our customers for 200 units that was approved, which is very interesting. And we know that a number of parties have applications that have been filed as well. So it does -- like I said, these programs can create some volatility on a quarter-to-quarter basis. But if we take a bit of a longer look at things, it's very attractive demand and we think the selling strategy with these programs is the right one. 
Operator: Our next question comes from George Gianarikas from Canaccord Genuity. 
George Gianarikas: Maybe just as a follow-up to the last question about these programs and the momentum you see underneath the surface, can you just help us maybe understand what you think the cadence of vehicle deliveries will be throughout this year? Obviously, it sounds like Q1 started at a low point. Maybe just a little bit of visibility and color as to how you think we should progress over the last 3 quarters of the year. 
Nicolas Brunet: George, Nick here again. Look, we don't have perfect visibility. But when you look at it, we are very well advanced in delivering the units that we were awarded as part of round 1 of the EPA program. We are now, as I mentioned before, with $1.5 billion that's about to be available for -- we expect for purchase orders of school buses from the next 2 rounds. There's obviously a certain time that's required to -- for the clients to place the formal purchase order as well as the planned infrastructure. And so we alluded to some volatility in the short term that is in part driven by that. What we are hoping for that is those -- that the cadence of deliveries under the EPA program will pick up in the second half of the year. Typically, there's about a 2-year window in order for the clients to receive the vehicle. We pride ourselves in being able to deliver relatively fast. And so, again, we hope and expect that the cadence will pick up in the second half of the year and continue throughout 2025. 
George Gianarikas: Great. And maybe just a second question on the commercial market opportunity. Any update on the Amazon relationship and any discussions you've had with them? 
Nicolas Brunet: Look, the -- by commercial, you mean trucks presumably? Look, the truck market, we've said it numerous times, is about 10x the potential of the school bus market. It's got the TCO dynamics that we think are more favorable. There has been continued regulation that is promoting zero-emissions vehicles. But that said, the market is significantly behind -- the truck market is significantly behind where the school bus market is. We see some interesting developments, of course. You mentioned Amazon. You saw that they are deploying with another party some tractor trucks. We view this as very positive industry news. And our goal with the truck is to deliver a quality product to get into large fleets and form relationships so that they can adopt and appreciate our product and then scale up this business as the market picks up. And that is truck. 
Operator: Our next question comes from Benoit Poirier from Desjardins. 
Benoit Poirier: Yes. Just to come back on the ZETF program, you mentioned some delays in terms of funding, and we didn't see any new funding in the Canadian budget. So are there any milestone we should monitor going forward? And I've heard also the word that you have currently a lot of dialogue with customers waiting, obviously, for the $1.5 billion funding to come with the EPA. How would you qualify your bidding pipeline as of now? And also, any thoughts about the upcoming U.S. election, whether it influenced the dialogue with the customers or the different funding agencies? 
Marc Bedard: This is Marc. I'll take the one on the ZETF. As you probably know -- I mean, it's been going on for almost 3 years now, and some operators started that process almost 2 years ago. So the process is obviously a little bit complicated, but we are seeing good movements right now. And I think the first approval for the 200 buses is a major step. So we are very satisfied with this at this point with obviously the approval of this order, and we were able to deliver 50 of those buses as well. So with respect to the ZETF, we see good momentum right now. We see good dialogue as well. As you know, the operators are discussing with the ZETF, and we're basically supporting the operators in their request. And we know that some operators are still waiting for the formal offer from the ZETF. One thing I can tell you, though, is that the operators, they are looking forward to electrify their fleet. And this is a great step. I mean, they are trying to slow down their diesel purchases right now waiting to receive the green light from the ZETF. So this is -- with respect to the ZETF, we see that as very good news right now. And I'll turn it to Nick to talk about the EPA. 
Nicolas Brunet: Yes, in terms of the EPA bidding pipeline, Ben, I described it as very healthy. Look, when this first round was announced, the subsidy amounts were the highest, the objective of the program was to spread out across all states as much as possible. Now the amounts are gradually lowering. They remain, in our view, very attractive. But more and more it's about selling into larger school districts served by larger operators and sort of more at scale deployment, which I think plays better into our selling activities. We also have, of course, now the factory in Joliet that's up and running that we can showcase. So I'd describe the pipeline as very healthy. In terms of your third question on the elections, of course, we don't know what we don't know. But a few facts I'd point out. The $5 billion EPA program is something that's approved, that's being deployed, as you can see, quite rapidly on top of the $1.5 billion that I mentioned just now and the $930 million from the Clean Heavy-Duty Program. We expect there will be another funding round this year somewhere in the fall under this program. And so the dollars are getting deployed pretty rapidly. And we'd add that in terms of school buses, it's a societal view in our opinion that school buses -- that emissions in school buses should be eliminated. It's a use case that makes a lot of sense, both in terms of health for the children, but also operationally speaking. And so we feel pretty good about that. And I'll add that on top of the federal money that we see coming in the space I mentioned, like the ZESBI Program, $500 million in California, there are other examples in Colorado, in Texas, in Illinois. And so there's quite a lot at the state level. And on top of subsidies, there's regulation also with a number of states that are making it mandatory over time for school buses to be electric. 
Operator: Our next question comes from Rupert Merer from National Bank. 
Rupert Merer: Coming back to the liquidity, it seems like the biggest moving part over the next couple of quarters is going to be the level of inventory. Can you talk about the cadence of the drop in inventory? That $50 million to $75 million in reduction that you're looking at, can that be front-end loaded this year? And do you have opportunities to reduce inventory by more than that level if needed. 
Richard Coulombe: I'll take that one, Rupert. Listen, as I said earlier, Q1 for us was a quarter where we really worked with our supplier base, and we kind of realigned our approach and shifting from a build-to-stock to build-to-order approach. So Q1 was like a transition quarter. Some of our suppliers had already built some inventory for us, had already bought some raw materials. So Q1 despite, I would say, all of the alignment that -- let's say, that occurred during the quarter, we accepted some inventory in exchange for payment terms and so on just to, again, get through that transition phase. And despite all of that, we managed to reduce inventory by $12 million. So I anticipate that Q2, Q3, we will continue seeing an improvement of that inventory reduction. So I do see the numbers increasing in the next few quarters. And internally, for sure, we're driving a higher number. We'll see how things play out. Obviously, a lot of it is connected to the order book and how many orders we're going to secure from the EPA around, as Nick pointed out, and ZETF. So there's a lot of moving parts, but it's hard for me at this point to talk about a different set of numbers. But I feel very confident with the $50 million to $75 million. And we should see -- I'm expecting Q2 to be another good quarter in terms of inventory reduction. 
Marc Bedard: Also -- Rupert, this is Marc. The -- with respect to the current assets, I mean Richard referred to that earlier, we have $329 million of current assets and $124 million of current liabilities. So that gives us almost $200 million of unlock -- of liquidity that we can unlock as well. And obviously, it's mostly inventory, as Richard just mentioned, but it's also accounts receivable. There's a lot of accounts receivable in there and there's a lot of account receivable coming from the government. So good accounts receivable. And then it's just a matter of timing before getting those. And it's an area where we will we will unlock -- we will be unlock -- we will -- sorry, we will be able to unlock some liquidities going forward. 
Rupert Merer: So liquidity, you say, it's the same today as it was at the end of March. Do you have a forecast of where that could end up at the end of Q2 with all of the initiatives that you're looking at? 
Richard Coulombe: Listen, I'm not going to get into forecasting cash flows. I can just tell you we're highly focused on our working capital initiatives. As I pointed out earlier, our April 30th balance is more or less the same as at March. And as we drive our initiatives, confidence is going to be a key contributor for liquidity. 
Marc Bedard: Rupert, we also need to keep in mind, I mean, the rightsizing that we've done. We feel that was necessary and very responsible from us. And this is $40 million in annualized savings. And a lot of this was coming from the overhead as well. So you will start to see the result of this rightsizing going forward, but there was a major decrease, obviously, in the burn rate. And you can add this also to what we've been doing with respect to CapEx, which is 11 -- $5 million for the whole year and $400,000, I mean, in the first quarter. Just keep in mind that last year during -- in Q1 of last year, we had CapEx of $23 million and we had R&D of $16.5 million. And in Q1, our R&D was $8.2 million. So I think all of this is going in the right direction. 
Rupert Merer: Great. And then as a follow-up on the supply chain, can you talk about how supply chain is progressing? Are you seeing any further relief on prices for key items like your battery cells or other critical parts? 
Marc Bedard: Yes. Well, that's a good question. I mean, obviously, with the -- the technology is evolving. I mean, we absolutely see some reduction in cost at some point. What is top of mind for us is bringing down the inventory. But at some point, we will start to see some results and those costs going down. So it will not be a short-term thing because of the inventory. I mean, we are consuming right now. But yes, absolutely, I mean, going forward, and I would say on the medium term, there -- we are absolutely expecting some costs going down, yes. 
Richard Coulombe: And I can add, maybe -- a lot of it is going to be on the new platform, right, like you saw in Q1. We see there was some pressure on our margins coming from the Lion5 production, LionD, and the introduction of our own battery. So obviously, as we see volume growing on those platforms and as we continue building more of our own batteries, we're definitely going to see costs going down. So there's a lot of effort on that front. 
Operator: The next question comes from Daniel Lai at Barclays. 
Unknown Analyst: This is Daniel on for Dan. To start off, help us understand the gross margin dynamics in the quarter. Could you provide us with some color on your visibility to future product launch headwinds and any other sort of puts and takes we should be aware of? And how much of a drag were product launches on gross margins in Q1? 
Richard Coulombe: Well, listen, on gross margin, we already communicated previously that there would be some volatility in the short term as we introduce some of the new platforms. So definitely, this quarter -- well, a couple of things, right? There was -- it was a quarter with relatively low volume. We introduced -- the Lion5, LionD started and we started introducing our own batteries on our platform. So obviously, all of this impacted the margin in the quarter. And we had several quarters where our margin was positive. And this quarter, as I said, we were expecting to go back to negative territory given what I just mentioned. And there will be a bit of volatility again in the short term as we continue ramping up on those new platforms. But again, as we see volumes picking up in the second half and as we continue and we don't see maturity in those platforms, again, the plan is to go back into positive territory as soon as possible. So a lot of efforts there. And as Marc pointed out, we did take a lot of costs out and over the 3 rounds of restructuring. We're looking at $40 million of savings on an annual basis. We're going to start feeling the full effect of those savings. Let's say, it's going to be about $10 million a quarter in Q3. So we should see roughly $5 million of tailwind in Q2 and then the full impact will be seen in Q3, Q4. So that's also going to help our margin going forward. 
Unknown Analyst: And just a quick follow-up on your commentary on the workforce reduction. What sorts of offsets are there to reduce workforce? And are you currently comfortable with the current size of your headcount, your workforce? 
Marc Bedard: Yes. Daniel, yes, we are. Basically, I mean, we've -- most of the adjustment was done with respect to the overhead. So there was almost no direct labor with the recent move that we've done. And you probably remember also that the second wave in February of this year was basically taking out the second shift for now. So that was mostly direct labor at this point. But we had to adapt to the reality of some incentives that were late. But what we are seeing now, we feel pretty good that we have the right size for what we can expect for the foreseeable future. So we've been growing a lot within the last few years. And 2024 is really a year of adapting to those conditions. And it's also a year of launching new products, the Lion5, the LionD, the Lion MD batteries, the Lion HD batteries, and in Q3 of this year, the Lion8 Tractor. So obviously, all of this has an impact on the gross margin. But at the same time, I mean, we're going to the market, I mean, with a great lineup of products, and that will bring volume over time. So to go back to your question, we feel very good about the rightsizing we're doing. I feel very good that the growth CapEx that we've been investing within the last few years are behind us, because it's not only a matter of like investing that money, but controlling those projects as well. And this is all behind us. And after Q3 of this year, we will also be done with any new product development, which is amazing. And this is going to drive down, obviously, the R&D costs going forward. So it's all about focus. We're very focused on growing the pipeline. And our real goal, as I said earlier, is to go back to having a positive EBITDA and generating free cash flow. And this is what everybody at Lion is focused on. 
Operator: The next question comes from Mike Shlisky from D.A. Davidson. 
Michael Shlisky: I wanted to ask about the Lion8 that's coming out soon. I don't want to jump the gun here. But I think one of your comments earlier, Nick, Amazon has just placed an order for like 14 of another brand's Class 8 EVs for use in the ports. I guess at this point with a couple of other models that are already on the market of Class 8 EVs, could you maybe give us some sense as to -- for update us as to what the differentiators are of the Lion8 and kind of what value you think you'll get there over the next, let's say, 18 months or so? 
Marc Bedard: Yes. No, I feel there's -- Mike, I feel there's many differences there. But we're -- as Nick was saying earlier, I mean, every time that there is a good news in the EV space, this is good news for the whole EV market. I think right now the battle is more about EV against the ICE market. So in some markets, there could be a resistance to change than anything else. So we're glad when the other companies are having good news as well. We feel this is good for the whole EV market. That being said, though, I mean, we feel very good about our products. And our DNA is really about adding purpose-built school buses and purpose-built trucks. So those trucks were -- we had the operator in mind the first day we started thinking about those. So that's going to generate a lot of cost savings going forward. And this is great for the operator. So we feel the total cost of ownership is very good. And the Lion8 Tractor will be launched, I mean, in 2 weeks in Las Vegas at the ACT show. And we feel this one is a game changer. And we can see that great momentum with the Lion5 as well. The people are driving the Lion5. We started the deliveries, as you know. Those trucks we feel will really respond, I mean, to the needs of the operators. And this is all that matters. So great quality products, real EV products that are fully purpose-built. And also all the software and all the communication tools that we have benefit from the last 8 years that we've been selling EV in the school bus space as well. So we feel that those trucks that we're putting to market will be a great game changer in the EV space. 
Michael Shlisky: Great. And then my follow-up question was just on the Q1 numbers here, a real quick one. Just the average price per vehicle was a bit higher this year over last year. Is that a function of just the mix between buses and trucks? I'm kind of trying to figure out where there any credit revenues from environmental credits or other things in there that we should be aware of? Or is it just purely all vehicles this quarter? 
Nicolas Brunet: All vehicles and charging infrastructure. No, no -- nothing unusual there. 
Michael Shlisky: So it's just mix, was the reason for the average -- or pricing? 
Nicolas Brunet: Yes, yes, mix. Correct. 
Operator: The next question is from Chris Souther from B. Riley. 
Christopher Souther: Maybe just on the truck order book, it looked like it was reduced during the quarter beyond what the sales were during the quarter. Can you comment on what the moving pieces were there? 
Nicolas Brunet: Yes. As I mentioned in the prepared remarks, we had an order of 65 units in the truck order book that was for a client that filed for creditor protection. And so in light of that, we took out those 65 units from the order book. That is the bulk of it, Chris. 
Christopher Souther: Okay. Got it. I missed that. And then, obviously, a lot of moving pieces on some of the subsidy programs. As it stands today, if we're looking at the current order book and the visibility on deliveries, could you give us a refresh on the current order book between ZETF, EPA, other orders that are customer-dependent on the timing and orders that are maybe less constricted on the delivery times? 
Nicolas Brunet: Yes. Over half of the order book, Chris, is conditional on the ZETF approval. As we mentioned this morning, the first approval for an order of 200 units was obtained and we started delivering on that. As it relates to the EPA, there is very, very little in there, only what remains from the first round. And as I mentioned, there is $1.5 billion that we expect will be imminently available for orders, and we're having a very healthy encouraging client dialogue for that. But there's close to nothing in the order book as it relates to the EPA. 
Christopher Souther: Yes. Okay. Got it. And then just maybe last one, a little more clarity on the ZETF process to get subsequent orders. Do you have any sense as to like what made the 200 bus order that you recently received get through all the red tape and the like? And where the other orders stand as far as that similar process? I just wanted to see if we can get some better sense of where we are with the rest of that piece of the order book? 
Marc Bedard: Yes. So with respect to the 200 orders, we are in discussion with the operators. Well, [Audio Gap] and it's a matter of putting in the infrastructure and delivering those buses. So there will be deliveries obviously this year, and we're coordinating with the operator to make sure that we please them and we deliver as soon as possible. As I said earlier, we see a very good dialogue right now between the operators and the ZETF. Many of those have been in discussion for more than 2 years with the ZETF. But it's a process where there are many steps, and many of them are getting to the last steps. And hopefully, I mean, that will conclude into an approval of those files. But we see a good momentum right now and we see a lot of willingness also from the operators to get their electric buses to carry the kids to school, which is great. So we feel that this order of 200 buses and this approval is a very good sign of where it's going. 
Operator: We have no further questions on the call, so I will hand the floor back to management to conclude. 
Isabelle Adjahi: Well, thank you, everyone, for joining with us today. We look forward to continuing the discussion with you. So feel free to contact me for any follow-up questions you may have. Have a nice day. 
Operator: This concludes today's conference call. Thank you all very much for joining.